Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Media Corporation 2021 Q3 Earnings Call. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, November 4, 2021. I would now like to turn the conference over to Courtnee Chun, Chief Portfolio Officer. Please, go ahead.
Courtnee Chun: Thank you. Good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in Liberty Media's most recent Forms 10-K and 10-Q or Liberty Media Acquisition's Form S-1 registration statement filed with the SEC. These forward-looking statements speak only as of the date of this call and Liberty Media and Liberty Media Acquisition expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media or Liberty Media Acquisition Corporation's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Media and SiriusXM, including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media and SiriusXM Schedules 1 and 2 can be found at the end of the earnings press release issued today, which is available on Liberty Media's website. Now, I'd like to turn the call over to Greg Maffei, Liberty's President and CEO.
Greg Maffei: Thank you, Courtnee, and good morning to all of you. Today speaking on the call we will also have Formula One's President and CEO, Stefano Domenicali; and Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling. This quarter, no surprise, we're going to start with the Braves. World Champions for the first time since 1995. As Hank Aaron said, “In playing ball, and in life, a person occasionally gets the opportunity to do something great. When that time comes, only two things matter: being prepared to seize the moment and having the courage to take your best swing.” Clearly the Brave did that and I want to thank Ted Turner for reminding us of that quote. So congrats to our tremendous players for their performance to Braves' lifer, Smith whom all the players have such a well-deserved admiration; to Alex Anthopoulos with its excellent mid-season trades; and to the rest of our top-quality Brave's management team, Terry, Mike and Derek and to all the Braves' country most of all. This was an excellent team effort particularly in Game 6 in Houston starting with Soler's ginormous 500-ish 3-run homer in the third that cleared the train tracks and Max Fried pitching the lights out despite getting his let spiked in the first inning. It was an amazing comeback since the All-Star break when we were 44 and 45 and the team wisely invested in talent of that trade deadline, which helped turn the season around and also generated a great financial performance. As I said, the financial performance of the team was as impressive as the on-field performance. The season-to-date baseball revenue per home game is up 11% compared to 2019 and retail per caps are up 33% versus 2019. The Braves ended the season number two in Major League Baseball and regular attendance at 2.3 million. This is close to our historical average of 2.4 million despite only reaching 100% capacity in May. With our on-field success, we've already sold thousands of new season ticket plans for the 2022 season. The battery was booming throughout the playoffs and we estimate crowds were well in excess of 100,000 for each of our World Series Games. Very exciting. So let me turn now to Liberty SiriusXM. This morning we also had some good news going over 80% at SiriusXM through a tax-free exchange and we now expect it to be an 80B. Accordingly all future distributions from Siri will be tax-free. We did continue our share repurchases, repurchasing $98 million across the As and the Ks from August through September -- excuse me, through October. The discount remains and we were purchased at a look-through price on Siri of just over $4. We continue to take advantage of that discount. We also sold our entire iHeart stake at an average price of $25.31 per share for after-tax proceeds of $175 million, the majority of which we sold after quarter end in October. This was well timed and we sold the stock for a 40% pre-tax gain. This investment was intended to take an option in adjacent business. But we like the hand we have at Siri and now have additional cash to fuel incremental buybacks. Looking at Siri itself, strong results for the quarter $616,000 in self-paying net adds, the highest quarterly figure ever recorded. We obtained our full year guidance in nine months. We also reported for the quarter the highest revenue and EBITDA ever. We have a continued focus on growing engagement outside the vehicle, perhaps you saw our very entertaining SiriusXM House ad campaign. And we have been driving impressive growth on the advertising platform with revenue up 31%. We are back to producing live content and experiences with our small stage series and we hosted Dave Matthews, Brandi Carlile, Coldplay and John Mulaney. Further on content, we completed an investment in a content agreement with Audio Up, which will create new original scripted podcast for the Siri platforms. Turning briefly to Live Nation. I noted reports later today, so I really can't comment on the results, other than to say demand is endured and is now being met with supply and we are pleased with the equity performance up 43% year-to-date. Turning to Formula One Group. Thrilling season continues. The lead for the Drivers' Championship has gone back and forth between Max and Lewis. Among the rest of the drivers there are tight competition across the grid. And in the Constructors' Championship, Mercedes and Red Bull are fighting for first, with McLaren and Ferrari in a tight battle for third. Fans are attending and tuning in. We have never seen such a crowd in Austin, for example, which set an F1 attendance record over the race weekend. Of the 400000 people that showed up in Austin, almost 70% were attending their first Grand Prix. Usually this figure is more like in the mid-30s. As Stefano will discuss in a moment, recently results -- released results of F1 fan survey and survey in our demographic is skewing younger, something fewer the sports can claim. We are already looking towards 2022 and have announced a 2023 race calendar. We are excited to have our second race in the U.S. and welcome the Miami GP in May. Demand is high. 275,000 people pre-registered to purchase tickets, as compared to a planned capacity of around 80,000. 1800 people have placed a $5000 deposit for luxury hospitality, Paddock Club and suite sold throughout -- they sold out the available inventory in the first day. We've also sold through the available Grandstand Tickets in the first day. Turning briefly to Almac, we continue to review opportunities. We believe the changes in the SPAC market will ultimately be to Liberty's benefit. And with that, I'd like to turn it over to Brian, for more on our financial results.
Brian Wendling: Thank you, Greg. Hard to follow that, but we'll give it our best try. Good morning everyone. Liberty SiriusXM Group has attributed cash and liquid investments of approximately $165 million, plus $50 million in public debt and equity securities at the corporate level. This excludes, $164 million of cash held directly at SiriusXM. We also have $1.1 billion of undrawn margin loan capacity at the parent level. Note that a portion of our cash will be used in early 2022 to repay our 2.25% Live Nation exchangeable bonds. We issued the redemption notice on these bonds, just after the quarter. Based on the fair value of the liability at quarter end, the amount of cash used would be $532 million. As of November 3rd, the value of our SiriusXM stocks held at Liberty SiriusXM Group, pro forma for the exchange and announced today was almost $20.8 billion and the value of Live Nation stock held was $7.3 billion. We have $3.2 billion in principal amount of debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt is $13.1 billion, which includes $8.9 billion of debt at SiriusXM. As you saw in our earnings release, the Liberty SiriusXM Group outstanding share count as of 10/31 pro forma for the exchange would have been 336 million shares. Formula One Group had attributed cash and liquid investments of $1.6 billion at quarter end which excludes $585 million of cash at F1. F1 Group also had $194 million of public debt and equity securities. Total Formula One Group attributed principal amount of debt was $3.4 billion, which includes $2.9 billion of debt at F1, leaving $546 million at the corporate level. F1's $500 million revolvers undrawn and Formula One leverage at the end of the quarter was 5.6 times very near our target range of five times to 5.5 times. Note that we are still in a period of covenant waiver until March of 2022. Please also note, that beginning January 1 2021, F1 began reclassifying certain components, previously reported in other F1 revenue into primary F1 revenue, to better align with the way it currently evaluates the business. Bonus reclassified in the primary F1 revenue include F1 TV subscriptions, F2- and F3-related fees, broadcast origination and support fees and digital advertising among others. Additional detail including the impact of the revenue reclassification for the years ended December 31 2019 and 2020 can be found in Schedule three of our earnings press release posted to our website. At quarter end, Braves Group had attributed cash and liquid investments of $134 million which excludes $83 million of restricted cash. Braves Group had attributed principal amount of debt of $721 million. Liberty and our consolidated subsidiaries are in compliance with their debt covenants at quarter end. And with that, I'll turn it over to Stefano to discuss Formula One.
Stefano Domenicali: Thanks Brian. The 2021 season continues to underline F1 position, as the undisputed pinnacle of Motorsport. Hamilton and Verstappen are still battling for the championship with the lead going back and the fourth almost every race. This continues to produce breathtaking moments such as, in Monza, where they're coming together. So, Max' car end-up on the top of Lewis, and in Austin, where we witnessed a spirited race to emerge ahead, after Towa. Fierce battle extends further down the field. We continue to see varied phases on the podium, including our one and two for McLaren and Monte. Checo finally has tried Red Bull and Ferrari's return to the podium as such. In the Constructors' Championship Mercedes is managing to retain slightly [Indiscernible] with the fight for the third between McLaren and Ferrari even close. We held our second sprint event in Monza which was again well received and certainly impacted the Sunday race outcome. We will hold our third and final sprint event in Brazil and are actively collecting feedback to make the sprint events even better in 2022. As restrictions have started to be easier, we have seen the return of large crowd to our races many ad capacity and the public clap is operating fully once again. We were thrilled as Formula One returned to Zandvoort for the first time since 1985. The Orange Army came out in full force to see Max win and the promoter over delivered in every aspect. In Austin, we welcomed 140,000 fans on Sunday and set a new attendance record with 400,000 over the weekend. We finalized the 2021 calendar with Qatar, still in the weekend of November 19 2021 thereby creating a three-race run in the Middle East to the end of 2021 season. This agreement is part of a longer 10-year deal starting in 2023 after Qatar hosts the FIFA World Cup in 2022. The draw and popularity of Formula One has never been greater. This is reinforced by a recently published Nielsen and Motorsport survey covering 187 countries. Participants identified that exciting is Formula One number one brand attribute with competitive and entertaining also making the top five for the first time. The sample of response was the largest and more diverse ever with female participation doubling and the average age decreasing 4 years to 32. We know we are moving in the right direction and engagement remains strong across all platforms. On the digital front unique users across the F1 website and app this year are up 56% compared to 2020. Social engagement continues to grow reaching nearly 35 million social interaction for the US GP, 52% higher than last U.S. GP n 2019. An 80 million social interaction for the Italian GP a record number for Formula One. The total number of those following F1 on social media now stands at over 45 million. The TV audience are tuning in and we have seen strong growth over 2020 and 2019 in many markets notably France, the Netherlands, Greece, Spain, Hungary and the United States. F1 TV remains a great way for us to catch all the action of the race weekends. The concurrent view for race days have consistently been more than 2.7x higher than 2020 season average. We were excited to announce our 23 race calendar for 2022. It is a great mix of historic and newer venues and we will welcome Miami which will be our second race in the United States. We look forward to this calendar which when paired with the new regulation and car design to create closer racing should produce another framing season. We do hope that 2022 feels more normal than the last two years, but we can draw on the skills we have owned to deal with any challenges we continue to face. Due to the ongoing pandemic condition China will not be included on the 2022 calendar, but will be restored to the calendar as soon as conditions allow and we look forward to our long-term partnership. We remain in the enviable position of demand of races continue to exceed the available supply of weekends. In the area of media rights, we made two announcements. Following the news that the FOX Sport channels in Asia would close. We have reached agreement with multiple broadcaster partners across the region through the end of 2022 season. This ensures that our fans in Singapore, Thailand, the Philippines, Malaysia, Brunei, Indonesia, Vietnam, Myanmar and the Chinese administrative region of Hong Kong can watch the conclusion of the 2021 season and every race in 2022. We also extended agreements with the Disney in Japan and India's Star India. On the other side of the world, we extended our successful broadcast partnership with Canal Plus in France until 2024 which includes their dedicated F1 channel. Session from four Grand Prix weekends will be broadcasted live and free-to-air along with event highlights throughout the third. We continue to work with our commercial partners and announced the Crypto.com overtake award in addition to their title's sponsorship of our sprint events. It will be awarded to the driver who has completed the most overtakes throughout the entirety of the 2021 season which concurrently is a battle between two veteran drivers battle and a loss. The 2021 F1 Esports Series Pro Championship presented by Aramco is now two events in following our highest ever number of fans attempted to qualify. Drivers continue to race remotely, but they're hugely popular. The competition is broadcasted from the Gfinity Esport terrain in London along with the live shows that include Natalie Pinkham, Tom Deacon and Nick Hamilton. The action in the Pro Championship is middle in the action of the track with multiple podium finishes across the first six races. This year qualification now opened through a challenging official F1 2021 video game developed by Codemasters. In line with our goal of being net zero carbon by 2030, we are aiming to help develop a 100% sustainable fuel for our new generation of Formula One hybrid engines. The focus is on a drop in fuel that can be used as a standard internal combustion engines without any modification to the engine with a target to achieve greenhouse gas emission savings of at least 65% relative to fossil derated petrol. The impact of this development could be enormous with 1.8 billion cars estimated to be on the road by 2030 with only 8% of those being pure battery electric vehicles. Internal combustion engine and hybrid will continue to be essential to air and sea travel, as well as the holy industry. Our partners are all focused on ESG initiatives. William set an ambitious target to be climate positive by 2030. They have launched a comprehensive sustainability strategy that encompasses the climate, biodiversity stewardships, sustainable innovation industry access for all the purpose-driven leadership. On the promoter side, the Grand Prix of the France became the first Grand Prix organizer to receive the highest level of certification by the FIA. Their commitment to a sustainable development approach includes the elimination of single-use plastics. Our mobility plan does significantly reduce the carbon footprint of spectator travel and a strong commitment to social responsibility. With 17 races completed and well on our way to delivering a championship record of 20 to the season despite the ongoing pandemic I'm so incredibly proud of the F1 team and all our partners. The flexibility and the perseverance display all year is truly impressive and it has been so rewarding to see a huge number of fans backup races celebrating our sport. We all see the enormous opportunity in front of us and we are committed to our vision and strategy to grow and continue to evolve our sport. Avanti tutta full speed ahead. And now I will turn the call back over to Greg. Thank you. Bye-bye. Thank you all. 
Greg Maffei: Thanks Stefano and Brian and to our listening audience. We look forward to seeing you on Thursday, November 18 at our Annual Investor Meeting. The full experience will be offered in person at the New York Times Center and virtually. The link to register can be found on our home page. Please note all in-person attendees must be fully vaccinated against COVID-19. We appreciate your continued interest in Liberty Media, and hope you all stay safe and healthy. And with that, operator, I'd like to open up for questions. 
Operator: Thank you. We take our first question from Bryan Kraft with Deutsche Bank. Please go ahead. Your line is open.
Bryan Kraft: Thank you. Good morning, and congrats on the Braves' win in the World Series. I had two questions one on iHeart and one on Formula One. On Formula One you seem optimistic that 2022 will mark a return to full operating performance. Assuming that happens, do you think 2022 could be the year where we see for the first time all the benefits of the last four and half years' initiatives coming together wants to drive financial performance that is really a step change higher than 2019 pre-COVID? And then my other question is just curious, Greg, what made you decide to sell your iHeart stock? Is that no longer a strategic interest for SiriusXM? So just what changed there? Thanks.
Greg Maffei: Well, I think – and I'll let Stefano comment on the Formula One, as well. Look, I think 2022 we're going to see a return of many elements of the business. But will everything come to pass and will we be on a new hire plateau? I think it's just the beginning and we'll see continued success from that level and above. Will everything come together? Always hard to predict, not only because of some of the issues around, what contracts get executed and what sponsorship opportunities. But obviously, could there be the risk of attendance issues into 2022 with COVID to be determined. But I do think we will perform better in 2022 than 2021 and better than we did in 2019 substantially better. And I think the trend continues to be up. Stefano, I don't know what you would add?
Stefano Domenicali: I would say, Greg you synthesize perfectly, what I believe will happen. And of course, you said, one thing that is really important. The success we were able to leave this year despite the pandemic was due to the fact that, we were flexible and with our teams with the partners with the promoters to make sure that we would done this championship. I think that, there is still this thing to put into perspective, because we don't know exactly how the situation will develop of course, with the way that we can see in any case the situation is improving. And I would say that, all the elements and all the initiatives that we put in place in the last couple of years for sure is going to pay back starting from next year.
Greg Maffei: And as far as iHeart, we took a stake, because we thought it was attractive and it creates a potential optionality. It's not something we're looking to pursue. So it seemed to make sense to recognize the gain, we had and utilize the proceeds to go after our own discount and our own opportunities.
Bryan Kraft: Okay. Thanks to you both. Appreciate it.
Greg Maffei: Thanks for the question. And thanks for the call out on the Braves.
Operator: Thank you. We take our next question from Vijay Jayant with Evercore. Please go ahead. Your line is open.
Vijay Jayant: Good morning. So Greg, did an interesting transaction at least we saw it announced last night. Just curious on, why that was a structure of the stock swap with a shareholder to increase your ownership? It looks like you're past 80% on Sirius now. Does that sort of suggest that Sirius could be qualified as an ATB? If that is the case now you probably have three ATBs with January I think Formula One becomes an ATB. So what does that mean? Are we sort of undoing the whole tracking stock structure? What are the flexibility does that get you? Thoughts on that. Thanks.
Greg Maffei: Yeah. Well, I think you rightly noted. We undertook a transaction, where we did a tax-free exchange to make an ATB out of this. Our famous line around here is no planner intent and that's one we – if you ever visit my office, you'll see I have some pillows which say that thank you for courtesy of Courtney. But look our whole idea is to create optionality, we have nothing to announce today about that. We would have gone over 80% probably with Sirius' continued buyback. But the way we transacted with the tax-free exchange, allowed to become an ATB, or something we expect will be in ATB, and great optionality and flexibility. So no plans, but we always like having ATBs. You can't have enough of them.
Vijay Jayant: Great. Thanks so much.
Operator: Thank you. And we take our next question from Jeffrey Wlodarczak with Pivotal Research. Please go ahead. Your line is open.
Jeffrey Wlodarczak: Good morning. I also congratulate you guys on the Braves' win in World Series. I think that was kind of out of left field for a lot of folks. So congratulations and crossing 80% barrier in SIRI. I guess, I'll follow up on the SIRI question, with the obligatory now that you're at 80% should we expect something like what you're doing with Charter? Will you'll maintain your stake around 80% and then participate in their buyback? And then also on SIRI post their call the US Steel's CEO made some comments that multiple auto manufacturers are ramping their steel deliveries implying the chip shortages have bottomed out beginning in the fourth quarter first quarter. Are you seeing the same thing from your auto partners?
Greg Maffei: On the – what we'll do, we obviously have no as I said no plan or intent. We try to keep our options open. We would not be able to sell directly back to – or sell our stock in the marketplace in a hold at 80%, above 80% unless we had an agreement to sell right to the company, which we do not have at this time. So probably dividends are the tax-free most attractive thing and we can make a determination about whether we want to sell stock into the marketplace and be above 80%. We'll make that determination over time. But I would note that, just – that would not be tax-free unless we had an ability to sell directly to the company, which we do not have at this moment. On the SAAR and where it's going, I think things will get better. That's our expectation. But clearly, the fact that we had a lower SAAR for many months in the second half of 2021 means the top of the funnel is not as full. We do expect it to recover and refill, but it will mean we'll have a less opportunity for net new net adds – self-pay net adds, into 2022. So we'll see what it comes. But we are optimistic that our partners will get on track but we'll have a – we had a great self-pay net-add quarter. It will be a little tougher in 2022 as we head in unless that SAAR refills quickly.
Jeffrey Wlodarczak: Thank you.
Operator: And we take our next question from Doug Mitchelson with Crédit Suisse. Please go ahead. Your line is open.
Doug Mitchelson: Thanks so much. Congratulations on the Braves as well Greg. Now we also to say that. The – a couple of questions. Was it the 253 letter agreement between Liberty and SIRI required for the ATB consideration? I think you were implying that at comments. I just wanted to be sure.
Greg Maffei: We constructed a transaction where we had a tax-free exchange of our stock which – that is what was required until we believe to make this an ATB rather than the alternative which looked like it would might naturally occur which was to have SIRI buy us over – excuse me buy back their own stock and push us over 80%. So the actions we took, the positive action of doing a tax-free exchange we believe allows us to be an ATB.
Doug Mitchelson: Thanks for that. And then maybe I'm missing something simple but what was the purpose of the 253 letter agreement between Liberty and SIRI then? 
Greg Maffei: I'll let Renee [ph] talk about that.
Unidentified Company Representative: Sure. So the 253 letter agreement was actually the result of a negotiation between us and the Special Committee of SiriusXM. There were some additional materials that needed to be delivered in connection with our tax-free exchange. So we did need to engage in a negotiation with the Special Committee and this was an app that they made and we agreed to.
Doug Mitchelson: Okay. And then Greg I think it will be hard to get you to talk too much about the relationship between Liberty SIRI and SIRI until the Analyst Day. But let me try this way. Is it more appealing to create long-term value by taking advantage of a persistent discount over a long period as capital becomes available to do so say using SIRI dividends to buy back Liberty SIRI shares, or would you rather close the discount as rapidly as possible? What's the better path to the greatest long-term value creation? 
Greg Maffei: This is a debate since the beginning of time. And you could think about buybacks. Are buybacks to be done to buy your own stock at a discount or to try and get your stock up? We generally favor the long-term path and like a in that alternative. But clearly there is an advantage here to seeing the discount close as well. So I think it's a win-win Doug. 
Doug Mitchelson: Okay. We'll wait for the Analyst Day for more on that one. Thank you.
Operator: Thank you. We take our next question from Ben Swinburne with Morgan Stanley. Please go ahead. Your line is open.
Ben Swinburne: Great. Thank you. Good morning, I'm not going to say anything about the Braves. It's been covered. On Formula One I guess two questions. I mean all of the sort of qualitative data and quantitative but certainly qualitative datas the sports having an unbelievable year and I'm wondering if you could talk about sort of two opportunities. One in race promotion are you – do you think you're strengthening kind of your pricing power with your host partners as you move into renewals over the next few years given all the attendance trends? And I realize we just came out of COVID where things were incredibly dicey on that front. But it seems like that part of your business may have more pricing than we've seen in the past. So that's the first one. And then secondly, next year you've got a new car the budget cap, I think steps down again. You guys wanted to make the sport more attractive for new teams in new capital to come into the sport new engine manufacturers. I guess the question is there's a lot of rumors out there. But I'm curious if you are bullish you're going to see that start to really show up in the business in 2022 and beyond? Thank you.
Greg Maffei: So I'll take the first shot and I'll let Stefano obviously add. Look I think we – the strength of the sport in terms of the demand and the audience helps us in many ways. We've seen new cities want to enter like cutter. We've seen increased performance and increased success of existing promoters for example, Austin adding extra seating. All of those allow us frankly – both sides of that allow us to get a better deal and to do better both with the new partners and with the existing partners. So all to the good on the promotion side. Stefano, would you add anything on promotion? 
Stefano Domenicali: No, I think that you're totally right. And I think that it is not only a matter of but it's also something related to the quality of the show that we are bringing in. What we are also keen on is offering to the people that are attending the race is a unique experience. A physical experience whether it's Formula One or with all the things related to the content partners and sponsored together and leaving us something that is really gimmick. So these were – the situation these really positive days will help also that dimension of the sport. Then if I may jump in on the second part of the question Greg, if it's okay for you I think that we are talking about new regulation. We are talking about the fact that in the discussion that is coming out you see that the value of each team is getting higher to do the investment that we are doing on the control of the cost. And the fact that the sporting is a very good health despite the COVID situation. And therefore, the fact that we want to have a more attractive sport, doesn't mean that we need to have more things. I mean if – as we really are focusing on sorry that the new regulation will enable the cost to be more and more easy to be overtaken by the – one to the other. We have an incredible number of drivers that we can allow that sport. So it's been a matter of finding the right balance with the fact that will be for sure new ones that want to come in. That's the fact we want to give the value that are already into the sport. And then in the discussion that we are all hearing on the public domain about what is the future technological choices that we have taken for the future powertrain, the fact that the new manufacturer are discussing with the FIA. It's a very, very encouraging situation because that means that F1 has taken the right technical decisions for its future. So once again we are in an incredible moment of great opportunity in order to consolidate the sport that is really in a great shape today.
Greg Maffei: Yes. And I would just echo some of the thoughts I have that Stefano said. Look, one of the important things was to help the ecosystem. And you've really seen the strength of the teams do so much better. And I appreciate all the kind words they now say about Liberty and about Formula One's management. And I think that's because guess what the value of the teams has gone up dramatically and we knew that was necessary. And the actions we took with the budget cap and the like and changing some of the payouts, all were designed to create health of the ecosystem and that's happened. So in many ways, the teams have gotten that success, because it was necessary to make them healthy for us to get -- to build to the next level. And the interest you're seeing of new entrants to come in and buy teams is only an echo of that success. So I think there's a lot of things that are setting up well for us. All those pieces about demand, all those pieces about the strength of the system all set up well for future success. And when I mentioned, the 2022 is going to be a step-upm but certainly not the last one. I think we have a long trajectory of success in front of us, I'm very optimistic.
Ben Swinburne: Yes. That's great. And maybe just if I could do one quick follow-up on the Braves not to sound like Debbie Downer or after the World Series, but there's obviously a lot going on with your RSN partner to say the least. Is that something that concerns you Greg given the revenue contribution that the Braves get from local media rights, as we look into sort of what's happening with Diamond Sports and Dash and, et cetera? 
Greg Maffei: Yes. Of course, it concerns me, but let me give you a few facts. We have a good deal, not an amazing deal. It's not a Dodger like deal at our RSN partner. It is probably one of the two or three most profitable RSNs out there right now. And our territory 12-plus million cable households is the largest territory that baseball has. So when you think about a digital conversion, we're as well set up. And when you think about what the alternatives are to the traditional RSN model if it really does evolve, which I suspect it will over time. We're as well set up and positioned as anybody in baseball, so lots of reasons to think that our RSN partners are doing pretty well. They can continue to do well. The deal is not done until 2028. And we have as I said, alternatives and opportunities, I think in the digital footprint, which are unparalleled in baseball.
Ben Swinburne: Thank you.
Operator: Thank you. We take our next question from David Karnovsky with JPMorgan. Please go ahead sir. Your line is open.
David Karnovsky: All right. Thank you. Greg maybe just to follow on your prior comments. Just given the value F1 is creating for the teams and some of the team principles, I think spoke about achieving $1 billion valuations this week, how do you kind of think about what the right economic split should be between F1 and the teams maybe a little longer on? And then just on the FWONA repurchase, do you expect to buy back more shares from here, or was that kind of more about capturing the discount between the A and the K shares as they widen out a lot over the summer?
Greg Maffei: So I'm very happy to see the teams do well. As I think as I said that was necessary for the success of F1. The new Concorde Agreement has some incentives that is revenue and profits increase. We take back some of that which have been given over the last several deals. I already warned the teams expect more demand from us based on how much success they've had and they smile, so we'll see how those negotiations go. But I'm optimistic that we can continue to have success with the teams, as we've had over the last couple of years and will both benefit. On the FWONA, I think we like both the valuation and we'd obviously try to take advantage of the discount. We'd like to winning twice in that transaction. And as we generate free cash flow at FWON, as we will, you'll see us take actions to try and take advantage of pricing and other things that we think are attractive in the market. But as I said earlier no plan or intent announced today. 
David Karnovsky: Thank you.
Operator: Thank you. We take our next question from David Joyce with Barclays Capital. Please go ahead. Your line is open.
David Joyce: Thank you. I appreciate the great numbers on the Austin Grand Prix. Could you also provide color on the per cap spending increases during the third quarter, the average attendance both overall at the races as well as with the Paddock Club, just when comparing it to 2019? And then into the fourth quarter for the remaining races, what does the capacity look like? Thanks.
Greg Maffei: Yes. I think that's a hard comparison, because in 2019 we had different timing of different races and shifted around. So it's not a per -- it's not an equivalent thing, because the calendar has shifted. So we're not prepared to dissect that or announce that forecast for 2020 or the fourth quarter yet.
David Joyce: Any further color that we can learn about the per cap spending, if you can compare race to race?
Greg Maffei: I'll let either Stefano or – Stefano, do you want to comment? But I think it's coming out.
Stefano Domenicali : Yes. I mean, what I can see is that for sure the last events were people back attending, we see -- we saw the increase, of course, all the products of licensing we have growing up, because there is really the possibility to share experience and have the right product to buy. So that's I can say -- I can see that it's happening. And what I can add on top of what you said, Greg is for sure now we are heading two races where we have capacity, full capacity in grandstands and also Paddock Club. So that is something that we are looking forward to see people back again.
David Joyce: Okay. Thank you.
Greg Maffei: Take the next question.
Operator: Thank you. We take our next question from Matthew Harrigan with Benchmark. Please go ahead. Your line is open.
Matthew Harrigan : Thank you. Pat Symonds, Formula One's CTO as you know was on CNBC very early this morning, talking about the improvement in the aerodynamics next year, closer following, better passing more excited racing. And then you also elaborated on the developments in the Saudi Aramco JV, I think you formed in March of last year. And he really -- as Stefano alluded to, he really talked about the applications for road vehicles as well as on track. And I almost have the impression that even though, there are some nuances smaller engines and all that, that it might even be bad or compatible for existing vehicles on the road, which I don't know how reasonable that is, but I didn't think that Stefano completely excluded that either or maybe you didn't bother mentioning it. And this is kind of a wild question. But would there be any possibility for your staff to get involved in that? I think it's a mandate. It's just limited to TMT. But clearly this is something that -- I know it's a moonshot, but it sounds like it's pretty interesting given some of the principles involved like Formula One and Saudi Aramco? Thank you.
Greg Maffei: I'll let Stefano comment on some of the technical capabilities and then I'll get on to the SPAC.
Stefano Domenicali: Okay. So, I'll start from the technical. Like first of all, we don't have to forget that F1 has always standing for innovative technologies which can be and has been always the case transfer from the race track to the production vehicle. And this will be the case also in our future development income on new technology in having an engine of a powertrain that will be for sure combined hybrid engine with a sustainable fuel part of this equation. And this will be very beneficial because at the end of the day what we want to claim as a sport platform there are ways to keep the motorsport at the center of the technological research not only for the big OEM, but also for the small teams that can offer that technology into a bigger equation. So, I think that is really we are taking the lead on something that we have been always delivering in this way of treating technology versus motorsport. One thing that I want to underline is we are talking about not sport. We are talking about the motion. So, the balance between the high level of self-development and something that the customer and the fans wants to see on the track is a very important balance to respect. Otherwise, we can see other situation where this has not been the case and the platform will be proven not to be the best one. So, this will be always the future approach of the technological development of Formula One.
Greg Maffei: And while well our SPAC has a pretty broad mandate and we have nothing to announce today. We certainly do look at the advancement in synthetic fuels and have looked around them as whether there's an investment opportunity whether it's the SPAC or some other part of Liberty. Haven't found one yet but certainly are not adverse to the idea and recognize we're in a unique position to try and see opportunities there and actually promote them as well.
Matthew Harrigan: But just to push my question and I apologize I almost got the inference from Pat this morning that this could actually be backward compatible for vehicles that are already on the road. I mean am I -- I totally misunderstand that or is that within the scope of what you're trying to do? 
Greg Maffei: Stefano do you want to add on?
Stefano Domenicali: I confirm that. Yes. No, I think that is absolutely yes because that is something that we don't have to forget that all around the world there are billions of car that needs to be considered in the future. So, our answer is with the sustainable fuel the approach that we are working on, of course, with Aramco, but all the oil suppliers that are in the business of Formula One or with the teams are working very hard on that. we give the chance to make sure that this path will be sustainable also for these diesel car will be around the world in the future. 
Matthew Harrigan: Great. Thanks.
Greg Maffei: Thank you.
Operator: Thank you. We take our next question from Jason Bazinet with Citi. Please go ahead, your line is open.
Jason Bazinet: I have sort of maybe a strange question. Do you guys have an estimate in terms of how much capital you think Liberty would need to close the NAV discount on Liberty Series if you chose to do that to zero?
Greg Maffei: No, we don't have an estimation Jason, I'm sorry.
Jason Bazinet: Okay. Thank you.
Operator: Thank you. We take our next question from Stephen Laszczyk with Goldman Sachs. Please go ahead, your line is open.
Stephen Laszczyk: Hi. Thanks for taking the questions. On Formula One it sounds like there was a lot of demand on the promoter side to host Sprint releases for next year. Maybe going off Ben's earlier question could you discuss the extent which we should expect to see Formula One monetize the Sprint races on your calendar next year? And then maybe more broadly I was curious how much more room you think there is for Formula One to expand the Sprint circuit beyond the six or so races over time?
Greg Maffei: I'll let you handle it Stefano. Stefano did you lose you?
Operator: It appears so, yes sir. 
Greg Maffei: Okay. I'll take a cut even though I will not be as eloquent as Stefano. Look there is a tension. We like it the fans like it. The teams and the drivers don't necessarily love it partly because they know this system and partly because it incurs potential incremental expense for them against the cost cap. There are revenue opportunities around it, both in terms of greater attendance at events including qualifying, but also in terms of potentially sponsorship of the Sprint race and the like. So, clearly there is an economic reason but there's a tension which we're not dismissive of that it puts more stress on the teams and more stress on the drivers. So, we'll see how we can manage through those two counterpoint elements.
Stephen Laszczyk: Great. Thanks for that. And maybe just one more if I could. On the Asian broadcast deals that you announced, is there any more detail you can provide on these deals maybe in terms of how they compare to FOX Sports? And then maybe the likelihood that they get renewed past 2022?
Greg Maffei: We're not I think disclosing that. We are somewhat optimistic we can share it from go forward but we're not at this moment can disclose how they compare. Thank you.
Stephen Laszczyk: Okay. Thank you.
Operator: And that will conclude our Q&A session today. I would now like to turn the call back over to your host for any additional or closing remarks.
Greg Maffei: Thank you for your interest in Liberty Media. We do hope to see you on November 18th in person or virtually at our Investor Day. Until then, have a good one.
Operator: And ladies and gentlemen that concludes today's conference call. Thank you for your participation. You may now disconnect.